Operator: Greetings, and welcome to Akili's Third Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the call over to Joshua Young. Thank you. You may begin.
Joshua Young: Thank you, Darryl. Good afternoon, and welcome to Akili's earnings conference call for the third quarter of 2022. My name is Joshua Young, and I'm the Vice President of Investor Relations for Akili. With me on today's call are Eddie Martucci, Chief Executive Officer; Matt Franklin, Chief Operating Officer; and Santosh Shanbhag, Chief Financial Officer for Akili. After the market closed today, we issued our earnings release, which can be accessed on the Investor Relations section of our website. Additionally, we have posted earnings slides at our IR website that we will reference during today's webcast. This call is being recorded, and a replay of the teleconference will be available on our IR website at the conclusion of today's event. On Slide 2, we show our forward-looking statements. During today's call, we will make forward-looking statements regarding future events, expectations, plans, prospects or the financial performance of the company. These forward-looking statements are based upon estimates and assumptions that, while considered reasonable by the company's management, involve certain risks and uncertainties. The company's actual results may differ materially from those expressed or implied by any forward-looking statements as a result of various important factors. Factors that might cause those differences include, but are not limited to, those risks and uncertainties set forth in our Form 8-K filed on August 23 as well as other subsequent filings with the SEC. Information provided on today's call reflects our views only as of today, November 10, and should not be relied upon as representative of our views as of any other subsequent date. We explicitly disclaim any obligation to update or revise any forward-looking statements or our outlook. Also during today's call, we will refer to certain non-GAAP financial measures. Management does not intend the presentation of these non-GAAP financial measures to be considered in isolation or as a substitute for results prepared in accordance with GAAP, but is a complement to provide greater transparency. A reconciliation of the non-GAAP financial measures to our GAAP financial measures is included in our earnings release and in our earnings slides. With that, I would like to turn -- please go to Slide 3, and I'd like to turn the call over to Eddie for his prepared remarks. Eddie?
Walter Martucci: Thanks, Josh. Hi, everyone. Thanks so much for joining our first earnings call as a public company. As you know, here at Akili, we're looking to establish a new class of CNS, or central nervous system, medicine. In the third quarter, I think we made meaningful progress toward this vision and we're excited to build on that momentum going into Q4. If you turn to Slide 4, I want to get specific for a moment on the patient need and the market opportunity that we're building into. Very simply, we need better medicine for mental and behavioral health. I don't think that's up for debate anymore. We believe patients need more precisely targeted treatments. Specifically, one of the largest opportunities that we see is for treatments that can directly improve cognitive functioning. Such things like our ability to pay attention to focus to process information, across many areas of medicine, cognitive impairment in disease X is now a term. It's being discussed more and more with more focus. For children, this is critical. Cognitive impairments can impact their school, their friendships, day-to-day quality of life. It's really important. If you turn to Slide 5, we know we're in the midst of a growing mental health crisis and treating conditions like ADHD has unfortunately remained the same for decades. There's essentially 2 options, pharmaceuticals and behavioral therapy and neither of these options specifically target cognitive issues. Unfortunately, it's also well known that very few families can actually afford or access behavioral therapy. So what that really means today is that for most families, they're left with a single option, which is pharmaceuticals. And we know there's a growing concern across society about the effects and potential overuse of these pharmaceuticals, especially in children. So we believe providers and patients are ready for new treatment options that are effective, accessible and safe, and we believe they want their treatment to have the possibility to bring joy instead of fear. That's the need. We believe that digital treatments that are targeting physiology and the brain represent a new pillar alongside medication and therapy, and that's the positioning we're looking to establish. First in ADHD and then broadening from there. If you turn to Slide 6, this is what we've built clinically validated and published in peer-reviewed journals. Our SSME technology platform represents a next-generation behavioral intervention, and we call it this because it is a behavioral targeted intervention, but it's not a strategy or behavioral therapy. It's software designed to directly target the neural networks underlying cognitive functioning, in this case, a tension functioning. And it can be delivered through enjoyable software that looks and feels and plays like a video game. If you look at Slide 7, we're very proud of our first product out of this platform EndeavorRx. As you all know, it's authorized by the FDA indicated to improve attention functioning in children, 8 to 12 with inattentive or combined-type ADHD. This is a product that's meant to be used as part of a treatment program that can include medication or behavioral therapy or education or other resources. So it is that new pillar of medicine that is flexible and can be used with other aspects of medicine. We're excited that EndeavorRx is currently being prescribed at small scale across the country. And so right now, at this point in time, the focus of our business is on driving efficient growth in the ADHD market. To be very clear, we have a pretty bold goal at Akili, and that's for our software-based treatments to become part of mainstream routine medical care like pharmaceuticals. We haven't seen that with the digital product to date, but we believe it's possible with our approach and with the specific market we're going into. To that end, you're going to hear today the team focused on metrics primarily that we believe are leading indicators of this mainstream uptake -- of breadth of uptake of EndeavorRx. For example, we're excited that today we've seen prescriptions from all 50 states. Similarly to date, we've seen over 2,000 doctors who have written prescriptions. So we think it's a good early foundation that shows potential indicators of breadth. But right now, we are looking to see consistent quarter-over-quarter growth, and that's our focus. If you move to Slide 8, at increase in scale, we're now hearing from families the important role that EndeavorRx is playing in their children's lives. And you can see some of the testimonials and some of the quotes from patients and families we put here on the slide. What's really interesting is that these families have also shared with us a sense of empowerment that I believe is pretty rare in CNS medicine. And to see that in children is incredibly motivating. We realize we're creating a new category here. It takes extreme focus, and we have an internal focus on execution and iteration to nail and then grow our model. Our President and COO, Matt Franklin, joined us this summer with a career of launching innovative health care technologies, establishing new business models and delivering profitable growth, and that's what we're aiming for as a business. I'm excited that our go-to-market plan is now live and we believe we have sufficient capital to fund our current and planned operations until mid-2024. So if you turn to Slide 9, I'm now going to pass the call over to Matt to talk through our business and go-to-market strategy and our business progress.
Matthew Franklin: All right. Thank you, Eddie. The third quarter marked a significant transition point for us. We moved from prelaunch activities to the first phase of our commercial launch of EndeavorRx, and we're already starting to see an impact. I'll take you through what that launch looks like and how we plan to scale over time. I'll also walk you through the foundational pillars that are critical to achieving our goal of establishing EndeavorRx as part of routine clinical care for kids with ADHD. Of course, a prerequisite for commercial launch is having a fulfillment infrastructure. And over the last 18 months, we've built a customer infrastructure picturing here on Slide 10 that is simple, scalable and flexible, allowing us to evolve over time. We're designed to enable anyone that can benefit from EndeavorRx or any of our future products to be able to initiate treatment quickly, ideally the same data prescription is written. This infrastructure is now built, and it's working. If you turn to Slide 11, I'm going to spend a while on this slide. Our go-to-market strategy is focused on 3 core areas: adoption, coverage and experience. I'll first walk you through our strategy in each of these areas, and I'll share progress on key metrics. First, let's look at adoption. Our strategy is to engage with health care providers with a direct sales force to increase the volume of prescriptions. In this initial phase of our commercial launch, we focused on key territories prioritized by market opportunity and bounding by geography that enables us to maintain frequent provider interaction. We brought 14 sales reps on board in late Q3 of 2022. They've been trained, and they're now engaging with clinicians in the field. Additionally, we have a small team of inside sales reps to follow up on prescriptions that originate in territories where we do not yet have direct representation. The field sales reps are also supported by our medical science liaisons and an integrated marketing strategy focused on expanding awareness with health care providers and caregivers. Our reps are targeting 2 primary groups of providers, integrated behavioral health centers and pediatricians. Behavioral health centers are multidisciplinary practices that treat a high proportion of complex ADHD cases and tend to adopt innovative treatment approaches more quickly, while pediatricians are responsible for the ongoing management of the majority of pediatric patients with ADHD. As Eddie shared, our approach is to engage, learn, quickly iterate and then scale. In this first wave, we are capturing insights, refining capabilities and measuring progress and we believe that these best practices will enable us to efficiently build out our national footprint over the next 18 months. Now let's look at our second area of focus, coverage. To become a part of routine clinical care, EndeavorRx needs to be accessible to all patients. Of the thousands of EndeavorRx prescriptions written to date, the vast majority of families have paid out of pocket, and we're committed to driving change to improve access and to reduce the current socioeconomic disparity we see in treating mental health disorders, including ADHD. Our strategy is to engage with national PBMs, commercial insurers and state Medicaid plans to establish coverage for EndeavorRx. We now have the market access team focused on each of these stakeholders and while it's early, we are seeing positive signals from these efforts. In the third quarter, Highmark, the fourth largest Blue Cross Blue Shield organization with more than 6 million members included EndeavorRx in their medical policy for prescription digital therapeutics. We expect leaders like Highmark may influence others to follow in their footsteps. In addition, we are working with a prescription digital therapeutic industry through Pam's legislation called the Access to Prescription Digital Therapeutics Act to enable Medicare coverage and provide a catalyst for commercial and Medicaid coverage. It's important to note that while families wait for the insurance covering EndeavorRx, we provide a patient assistance program for those that qualify and also offer a discounted prescription for these paying out of pocket. Finally, our third area of focus is on treatment experience. Unlike pharmaceuticals, digital therapeutics can adapt to meet evolving patient needs. And because EndeavorRx is delivered through an engaging video game format, we have many levers to enhance the product and drive engagement and compliance. Features such as quest, character costumes and creature capture within the treatment can be modified to motivate our pediatric patients to stay engaged with the game over time. And our partnership with Roblox is a great example of the team using our mobile gaming reward mechanism to encourage completion of treatment phases. At Akili, the data entrusted by caregivers in patients allows us to not just continually enhance our products and services, but also enables us to deliver insights to families to support their child's overall treatment plan. These data allow us to work towards creating ongoing relationships with families and put caregivers to have meaningful discussions with their child's care team. For example, we recently introduced EndeavorRx Insights, a companion of that connects caregivers to their child's EndeavorRx treatment. EndeavorRx Insight allows families to get daily snapshot of the child's in-game progress and mission completion as well as see the level of effort that they're putting into the treatment. We have found that if the caregiver actively uses EndeavorRx Insight, their child is 3x more likely to complete their full 30-day course of treatment. We continue to source the feedback from families and plan to refine EndeavorRx based on this feedback. Now let's zoom out and look at EndeavorRx metrics to date. Moving to Slide 12. Here are the categories we're looking at as leading indicators that show the traction of EndeavorRx: prescription volume, prescriber and caregiver behaviors and reimbursement. I'm pleased to report that our performance in all 3 areas was strong in the third quarter of 2022. As a reminder, the majority of our sales force was not live until the end of the third quarter. The total number of prescriptions written in the third quarter of 2022 was more than 1,300, which is 71% increase versus prior quarter. New prescriptions represented more than 80% of the total prescriptions written in the third quarter of 2022. We're also encouraged by the 44% growth in refills versus prior quarter in this initial phase of the commercial launch. On the prescriber front, we continue to expand the prescribing universe with greater than 90% growth in the third quarter versus the second quarter, and the number of prescribers who wrote their first prescription for EndeavorRx. To date, as Eddie mentioned, we've had prescribers in all 50 states. One thing we're particularly excited about is that we're consistently adding more than 100 new prescribers every month. That's 100 prescribers every month laying their first-ever prescription for a video game treatment in a small but growing number of providers write prescriptions for multiple patients. From a caregiver perspective, new prescription conversion from written to dispensed in the third quarter continued to be greater than 50% as it was in the second quarter of 2022, which we view as an indication that parents see value in EndeavorRx and are willing to pay out of pocket for the treatment. Looking at pricing, our list price is $450 for a 30-day prescription. Our average selling price in the third quarter, excluding our patient assistance program, was $111, which was similar to the second quarter as we offer patients a self-paid discounted price of $99 for a 30-day prescription. Note that during the course of the year, we did shift from a 90-day prescription with a $295 out-of-pocket cost to the current 30-day prescription with the $99 out-of-pocket cost. Overall, 99% of dispensed prescriptions were paid in the third quarter. 1% of the prescriptions went through our patient assistance program, which means they were provided by us at no cost to the patient. In terms of reimbursement in the third quarter, about 4% of EndeavorRx prescriptions were reimbursed by insurance companies. You may notice that we are no longer reporting covered lives due to issues with their ability and accuracy of source data, which also fluctuates frequently, we no longer believe covered lives is a reliable metric to report on an ongoing basis. With that being said, we do plan to report large confirmed covered editions like Highmark as well as the percent of reimbursed prescriptions each quarter. That wraps up our discussions of work we're doing on the EndeavorRx launch. Turning now to our pipeline pictured on Slide 13. Our platform has the capability to address multiple potential markets, and this provides a sense of what you should expect to see from us over the next 18 months. Given our desire to be capital efficient, our goal is to keep our resources focused on EndeavorRx commercialization and ADHD label expansion. Beyond ADHD, we'll only do the work needed to keep our pipeline programs ready for clinical activation. To be clear, we are not currently planning to allocate funds to progress these programs outside of ADHD into the next phase of clinical development beyond the stated milestones. As I shared, we completed the first milestone on this chart with the transition from the prelaunch to launch of EndeavorRx. We also have multiple future market opportunities beyond our initial U.S. pediatric label. One huge market opportunity is geographic expansion. We do not have current plans to launch in the EU, but we do have a CE Mark that we received in 2020. In Japan, our partner, Shionogi, is actively progressing clinical work towards commercialization. Shionogi initiated an ADHD pivotal trial in Japan in the third quarter, and that trial is on track for a data readout by the end of next year. Another future market opportunity is ADHD age range label expansion in the U.S. We have 3 programs here. First, a pivotal trial in adolescents is on track and expected to read out by the end of next year. Second, our pivotal trial in adults is actively enrolling patients, but is progressing slower than anticipated. We're currently evaluating adjustments that may need to be made to the trial or to the time line for achieving the data readout milestone. Third, we are partnering with TALi Health on the ADHD program in 3- to 8-year old. We previously stated in the expected first half of 2023 start for the pilot study. However, TALi has undergone a change in the leadership. And as our discussions with this new leadership team ongoing, we are not able to confirm timing for a study start in this age group at this time. We will provide an updated time line as soon as possible. The final expansion area for product platform is in chronic conditions beyond ADHD where we already have clinical data. And I'm happy to confirm that we held our Q-Sub meeting with FDA in autism in October 12. We are also on track for our FDA Q-Sub meeting milestones in multiple sclerosis and major depressive disorder. Lastly, there are 2 studies of our technology being conducted by outside academic research institutions in COVID. Data was slated to be read out at the end of this year. And while we expect top line data from one of the studies by the end of this year, the second study is delayed by at least a quarter. We have made the choice to analyze the data from these trials together and expect to be able to share top line data from both studies in the first half of next year. I'll now turn the call over to Santosh for the financial update. Santosh?
Santosh Shanbhag: Thank you, Matt, and hello, everyone. We are really excited about the progress that Matt just walked us through. To remind everyone, we believe our marketed product, plus near-term clinical programs gives us the potential to expand to up to 8.1 million people with ADHD in the United States. With the conservative assumptions we had shared around market penetration, refill behavior and pricing and reimbursement in our prior public filings, we have multiple shots and goal to achieve our long-term objective of generating at least $500 million of revenue per year within ADHD in the United States in the next 5 to 7 years. I will spend the next few minutes talking about our Q3 financials and our capital position. On Slide 15, you can see our GAAP financial performance. We generated $82,000 in revenue in the third quarter compared to $64,000 in the second quarter of this year and $155,000 in the third quarter of last year. Note that the third quarter of last year included $98,000 of revenue associated with milestone payments from the Shionogi collaboration. We are reporting a GAAP net income of approximately $53 million in the third quarter of 2022. Our GAAP financials were positively affected by the earn-out shares associated with the leaseback process. Reliability related to these earn-out shares was significantly lower due to a pullback in the Akili's share price. Since the liability is based on a mark-to-market accounting approach, we recorded a noncash gain of approximately $78 million on the P&L. Turning to Slide 16. We show our non-GAAP performance for the quarter. This represents the key metrics that management uses to run the business. These non-GAAP adjusted figures exclude stock-based compensation, transaction costs allocated to earn-out shares and the mark-to-market change in the fair market value of the earn-out share liability. A reconciliation of non-GAAP adjusted financial measures directly comparable to GAAP financial measures is provided in our earnings release as well as at the end of the slide presentation. In the third quarter of this year, we incurred $18.3 million in non-GAAP operating expenses, a decrease of 10% compared to the second quarter of the year. This decrease was primarily due to the timing of discretionary marketing expenses related to the launch of EndeavorRx. We expect an acceleration of the discretionary marketing spend in Q4 now that we are in the initial phase of our commercial launch, and we are building out our sales force. From a capital perspective. We ended the quarter with $156.4 million of cash, cash equivalents and short-term investments. This includes $132.8 million in net proceeds we received from the business combination. Now as Matt mentioned, our goal is to keep the vast majority of our focus and resources on the commercialization of EndeavorRx and on ADHD label expansion. With this capital-efficient plan, we believe that we have sufficient cash to fund current and planned operations until mid-2024. With that, I'll hand it over back to Josh so we can take your questions.
Joshua Young: Thank you very much. Darryl, please assemble the Q&A roster.
Operator: [Operator Instructions]. Our first question is coming from the line of Charles Rhyee with Cowen.
Charles Rhyee: Yes. Congratulations, everyone, on your first quarter here. Eddie, I want to talk a little bit about your thoughts so far on where you are in terms of gaining more coverage. I know you don't want to talk about covered lives per se, but obviously, the Highmark coverage decision is interesting. Can you give us a little bit more detail there? Is that -- does this mean that Endeavor's on formulary? And if so, who is it available to? Is it the fully insured? Or is it available to all their ASO members? And then really interested more about where things stand with state Medicaid agencies?
Walter Martucci: Sure, Charles. Thanks for the question. So Highmark, I do view as an important moment for Akili for EndeavorRx and breadth of this broader category. So to get more specific on that in your question. So Highmark did create a policy, which is medical policy, which is that prescription digital therapeutics, including EndeavorRx on that policy, when prescribed by a doctor on label is considered medically necessary. And so that is a very clean crop policy, no prior offs or essentially prior off the label. And so I think at this point in time, that's really important because it's giving both access to patients, but it's also creating a framework because to your question about the broader momentum, if you will, in the payer world. We are seeing engagement. We're seeing continued engagement from payers. We're seeing more and more payer groups get deeper into discussions. But I do think for EndeavorRx, given this is a category that hasn't existed before, there is hesitation on logistically how to create policies, how to put a policy out there that is simple that gives access to patients. So I think Highmark gives that blueprint. I can't say exactly how much that decision will influence others. But I'm hopeful that, that is the type of policy that laser roadmap or a blueprint for others. And certainly, it got a lot of press and play in the public world and in the press. In terms of Medicaid, it's a good question. That is a focus of ours. We do have a team where there is focus and discussions with state Medicaid. We have not announced any contracts yet with Medicaid, but this is an area of focus for us. And so we do anticipate, as we go into 2023, that this is an area that we will continue to focus on. And it's important where about at least 1/3 of lives in ADHD do fall on Medicaid for pediatrics. So certainly a level of focus for us, and we hope to continue that work and turn over some wins there.
Charles Rhyee: That's really helpful. If I could just follow up on the Highmark decision. That would indicate that Endeavor is covered under the medical benefit and not the pharmacy benefit. And do you think that, that is the...
Walter Martucci: That's right.
Charles Rhyee: Is that the path forward, do you think for a lot of health plans? Or have you had discussions with the pharmacy team to make it more of a regular way prescription?
Walter Martucci: Yes. It's a good question, Charles. I think it's too early to tell in terms of long term for EndeavorRx, where -- what the distribution will look like, pharmacy versus medical. We have done the work and are continuing to work to enable both for EndeavorRx. And so we've been pretty public about flexibility being important given it's a new class. And so you're right, Highmark was medical policy. I do think, this is my opinion, is that whereas Highmark has shown a pretty clear path to put this on medical policy. I would expect others to see that as a viable path. But in our discussion with payers, there -- it depends on the payer and there is interest from both. So I think there will be a distribution, but in terms of exactly what that distribution will look like, I think too early to tell.
Charles Rhyee: And maybe just last, just squeeze in. Did they indicate why they chose medical policy to put under the medical benefit versus the pharmacy?
Walter Martucci: No. And I can't speak for Highmark there. They've been public about some of their decision processes, but no, I think that's a level of information that we don't have.
Operator: Our next question is coming from the line of Judah Frommer with Credit Suisse.
Judah Frommer: Congrats on the progress here. Just wanted to start out with a couple of questions on kind of the initial marketing and sales force effort. So can you give us an idea of where the sales folks are coming from maybe what their backgrounds are, the decision to go relatively broad in a relatively short time frame, if you're going to expand nationally as opposed to going, I guess with more targeted sales territories and going deeper within those territories. And then it does sound like the marketing effort is largely focused on physicians. What's being done to target caregivers? It just seems to us like non-pharmacological spend is really driven by the caregivers here.
Matthew Franklin: Yes. Thanks, Judah. This is Matt. I'll address that. So as far as our sales force goes, I'm actually really excited about the set of diverse backgrounds, yet deep experience that they bring. We have folks that have classic pharmaceutical backgrounds, prescription, visual therapeutics as well as medical device and diagnostics. So each of them brings something unique to Akili. As far as your comments on going abroad quickly, as I indicated, we are starting with this first wave of sales reps. We've onboarded 14 focused on high-priority territories. We're using this opportunity to really learn to collect those best practices, and then we can use those best practice just to expand over the next 18 months. And we do expect to or plan to target roughly 70 geographic targets across the U.S. In terms of marketing support, as I mentioned, these sales reps in the field today are supported by an integrated marketing plan focusing on both HCPs as well as caregivers. So caregiver engagement through channels like social media is a critical part of our strategy. We have done that in the past year. We'll continue to do that going forward. And with all of our programs, we'll monitor the effectiveness and adjust the marketing mix as we learn.
Judah Frommer: Okay. Great. That's helpful. And then just following up on the price change. Can you just give us a little bit of background on kind of what drove the change in out-of-pocket pricing? How do you see this $99 pricing? Do you see it as being introductory? Do you see it as sticking around for an extended period of time? And then any insights you can give, even if it's anecdotal, on refills? Are they coming relatively soon after the first script? Is there a gap in time or anything other -- anything else you can give us on refill dynamics would be helpful.
Matthew Franklin: Yes, absolutely. So first, on the price change. So the move from 90-day to 30-day prescription and the price change were really based on direct feedback from our stakeholders, from payers, providers, from the caregivers, simply that 30-day prescription aligns better with their practices today. So really trying to go on to that. As far as how long will we keep the price at the $99, as a new category of medicine, we're constantly monitoring the market, constantly getting feedback and evaluating changes to critical items, pricing is one. So we're evaluating where that price should go over time. We don't have any additional information to share at this time. It is important to note though that our list price do stay consistent at $450 for a 30-day prescription.
Judah Frommer: Okay. Got it. And is there anything you can also give us on refill?
Matthew Franklin: Yes. Sorry, so on refills, early days with the launch and having made a number of business changes over the course of the past year. We'll continue to monitor refills. But our focus right now is on driving awareness, the prescriber growth, the prescription growth. Refills are critical for us. We'll have more information to share on refills and refill data in 2023.
Operator: Our next question is coming from the line of Rahul Rakhit with LifeSci Capital.
Rahul Rakhit: I know you guys are driving a lot through your -- a lot of new scripts through our salespeople, but also interested to hear a little bit about whether you're seeing some new patients coming through the telemedicine visits that are being facilitated by your website? Are you seeing pretty decent traffic coming from that end?
Matthew Franklin: Yes. Thanks for the question. It's Matt. Again, yes, there are 3 ways that we see prescriptions come in. One is initiated by our sales force. One is telemedicine the others from sort of organic demands in those territories, and we don't yet have direct sales force. Telemedicine has been a consistent contributor for us. We haven't broken out the percentage of prescriptions by those different channels. It's been a consistent performer. It's important for us to offer going forward. But we haven't shared details on that channel yet.
Rahul Rakhit: I appreciate that. Yes and then I think just thinking about providers. I know it's still early, but I was wondering if you could just tell me a little bit about the providers who have been writing scripts for more than a quarter. Are you seeing these docs get more comfortable with prescribing EndeavorRx and offering it to new patients? I think any kind of commentary on how those script volumes are growing from the existing base of providers would be pretty helpful.
Matthew Franklin: Yes. Thanks for the question. Again, early days, we haven't had an extensive time with sales force in the field. So we haven't provided additional guidance or forecast around expected prescription growth or growth forecast. With that said, now with sales force in the field and our plans to expand geographically over time, we do anticipate continued growth quarter-over-quarter and year-over-year growth going forward. But again, we haven't broken out or provided details yet at this point.
Rahul Rakhit: Got it. All right. And then if I could squeeze one more in. Yes, I know the results from the election haven't been finalized yet, but based on the changes that we've seen up to this point, I guess, how are you guys thinking about how the likelihood of passing the legislation for this Medicare benefit category has changed?
Walter Martucci: Yes. Great question. Thanks, Rahul. I think that the -- there's a piece of legislation that we definitely support to create a category for prescription digital therapeutics, I think just like other FDA-approved therapeutic categories. We're still very much behind that. I think my perspective is that this is something that crosses party lines. Frankly, there's -- this is not really in the political sphere. This is touching constituents, meaning the lack of good treatment options is touching constituents across the aisles on both sides. And so we continue to push and continue to stay the course with our legislation here.
Operator: That is all the time we have allotted for today's call. I would now like to hand the call back to Eddie Martucci for any closing comments.
Walter Martucci: Thank you. Thanks so much, everybody. In closing, we're pleased with our progress. There are some highlights captured on Slide 17. In short, we believe we have the capital to fund the early growth of EndeavorRx and the team to do it. I'm excited about the opportunity ahead of us. We've talked about that a bit and the early success signals that we're starting to see. Right now, as you can hopefully tell from our prepared comments and our answers, we're focused on quickly adapting in the markets to hone our business and our business model to be as efficient as possible and set the foundation for profitable growth as we scale in the future. So that's what we're doing. That's what we'll be updating on, and we hope to see quarter-over-quarter progress. Thank you all for your attention. I look forward to continuing to transparently update you on all our progress. And hopefully, as we help more and more patients with cognitive issues, improve their lives, we see that reflected in the business as well. So thank you all for the attention.
Operator: This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.